Operator: Welcome to the Andrew Peller LTD Q1 2026 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 7, 2025. I would now like to turn the conference call over to you, Craig. Please continue your conference.
Craig David McDonald: Thank you, and good morning, everyone. I appreciate you joining us. Before we begin, this is a reminder that during the call, management may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and is subject to a number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. I'd encourage you to refer to the company's earnings release, MD&A and other security filings for additional information about these assumptions, risks and uncertainties. With that, I'll turn things over to Paul Dubkowski, Chief Executive Officer of Andrew Peller. Paul?
Paul Dubkowski: Thank you, Craig, and good morning, everyone. I'm pleased to be joined today by Renee Cauchi, our Chief Financial Officer; and Patrick O'Brien, our President and Chief Commercial Officer. As usual, I'll begin with a review of our operational and strategic highlights from the first quarter, and then Renee will walk us through the financial results. As we join you today from our offices in Ontario, we're in the midst of our summer season across Canada. This is an exciting time of the year here at Andrew Peller as preparations are in full swing for our upcoming harvest season, and our states are at peak traffic with Canadians enjoying the great weather in both the Niagara and Okanagan regions. In addition, there is a growing awareness and affinity for Canadian-produced wines as there's continued sense of national pride given the ongoing challenges with Canada and U.S. relations. We have seen the momentum coming out of fiscal 2025 continue through Q1 and into Q2, while Q1 top line results remained steady year-over-year, and I will get into the puts and takes behind that, we delivered strong margins, profitability and free cash flow highlighted by a 25% year-over-year increase in EBITDA. At the same time, we significantly reduced debt, further strengthening our balance sheet. This performance reflects the great work and actions of the team, specifically evolving to a changing market landscape, delivering on cost savings programs and driving operational efficiencies. We've seen a lift in domestic wine volume as consumers turn to Made in Canada offerings. However, the overall category is down modestly year-over-year as consumer preferences evolve. Given our presence across Canada, strong brands and depth of portfolio, we are well positioned to benefit from a sustained change in consumer behavior and ongoing growth in domestic consumption. We believe there is an incredible opportunity in front of us as an industry to drive sustained growth for domestic wines, which will have a significant economic impact across the regions, provinces and all of Canada. And recent policy changes are a clear signal of the government's commitment to a strong competitive wine industry and its broader economic impact. Looking more closely at our revenue drivers this quarter, we continue to outperform the category by winning an important new distribution channels and in growth categories as we navigate a dynamic retail environment. The expansion of retail distribution in Ontario over the past year has meaningfully changed how and where consumers discover and purchase wine. We responded by evolving our commercial structure aligning our team more closely with the needs of grocery, big-box and gas and convenience and sharpening our execution in each of these channels. Those adjustments are showing up in our results as grocery and big-box retail was an important growth driver again in Q1. Our brand assortment offers a strong combination of quality, innovation, familiarity and approachability, making us well positioned to win as consumers shop in these expanded retail settings. Our estates also performed well during the quarter with positive traffic trends as the season ramped up. We're seeing more Canadians choosing to stay closer to home and explore local destinations, a trend that continues to benefit our leading estate properties in Ontario and British Columbia. Our team remains focused on delivering exceptional experiences helping visitors discover the quality and character of great Canadian wine and wine regions while deepening their connection to our brands. In addition to winning in the right channels, we're highly focused on innovation in growth categories, and we're seeing encouraging results from this work. Our better-for-you offerings, led by [ on a slot ] continue to be among our fastest-growing SKUs. Sparkling wines continue to gain in popularity as well, supported by a preference for a fruitier, fresher taste, lighter profiles and lower alcohol. At the same time, alternative packaging formats like our 200 mL recyclable plastic bottle, which is an on-the-go easy-to-transport offering, resonate with consumers who value convenience. We have some exciting new launches in the works, and I look forward to sharing more with you later in fiscal 2026. Our strong performance across our core business was offset by lower agency business sales with U.S. wine off shelves in the majority of provinces, a moderate decline in our personal winemaking business and some expected softness in our stand-alone retail locations due to the evolving Ontario market. We continue to manage our retail footprint strategically as we adapt to the new Ontario landscape. Net-net, domestic sales were strong in the quarter as we saw growth across the core business offset by some declines in other channels. In addition to domestic growth and resilient sales in our first quarter results, we are pleased to see meaningful growth in our margins and profitability, which Renee will walk through in more detail. Collectively, we have delivered a strong quarter for the company, highlighted by the improved profitability, free cash flow and lower debt levels. Our balance sheet remains strong, and we are optimistic about the remainder of the year. Lastly on past earning calls, we've talked about our intent to monetize noncore assets over time, principally real estate assets. During the quarter, we initiated the sale of a small approximately 7-acre parcel of land in Canadian British Columbia. This sale was completed in mid-July for proceeds of $1.3 million. While modest in size, this is an important step in the execution of our strategy to focus on our resources on the highest return areas of our business. With that, I'll pass it over to Renee to take you through the financial results in more detail.
Renee Cauchi: Thanks, Paul, and good morning, everyone. Sales in the first quarter were largely consistent with the prior year at $99.2 million. As Paul highlighted, we saw growth from the expanded distribution in Ontario retail market with increased sales coming from grocery and big box retail channels. This growth was partially offset by an expected decrease in our stand-alone retail stores. We also saw strong performance in Western Canada and at our state wineries, which has offset some softness from our agency and personal winemaking businesses. Our gross margin in the first quarter was $42 million or 42.4% up from 38.4% in the same period last year. This improvement is driven by the ongoing efforts of our team to deliver on our $20 million cost savings program that we implemented over the last two years. Additionally, Q1 results included $2.1 million from the Ontario Grape support program, which was not in effect during the first quarter of last year. Excluding the impact of this program, gross margin expanded to 40.2% representing strong growth year-over-year. Selling and admin expenses were $25.9 million for the quarter, up slightly from the prior year. The increase is primarily related to the timing of professional services and ad and promo expenditures relating to our new launches coming later in fiscal '26. These increases were partially offset by a reduction in compensation expense as a result of prior restructuring efforts. EBITDA increased by 25.4% to $16.1 million in the quarter from $12.9 million in the prior year, which is due to margin favorability as a result of continued cost savings and the Ontario Grape Support Program. Interest expense also decreased by almost 15% compared to prior year due to lower average debt levels and lower interest rates. Looking at our balance sheet. At the end of the quarter, inventory had decreased to $153 million versus $170 million at the end of fiscal '25 due to lower cost input and our disciplined approach to managing our own on-hand inventory. As we move into harvest, we will see these inventory levels increase accordingly, consistent with historical patterns. We're encouraged by our improved cash generation and debt reduction, which reflects our efforts on working capital improvements, cost reductions and overall operating efficiencies. In the first quarter, we generated $19.2 million in cash from operations compared to $15.3 million in prior year. And as a result, we also reduced our net debt position from $182.4 million to $169 million at the end of this quarter. We have about $65 million of capacity on our revolving credit facility, and our debt ratio was about 2.6x EBITDA on a rolling 12-month basis. Overall, we delivered a strong quarter with gains in margin, EBITDA and cash flow, and we reduced debt materially, all while continuing to invest in the areas that will drive future growth. Thanks, everyone. I'll now pass it back to Paul for his closing remarks.
Paul Dubkowski: Thank you, Renee. It was definitely a strong start to fiscal 2026 and we've built on the momentum we had last year. We are really pleased with our team's ability to win in an evolving market landscape. We've generated strong top line results and profitability growth, while generating increased cash and lowering our debt balance, which further strengthens our balance sheet to support the business as we move forward. Our business is built on a strong foundation as we look to generate sustained long-term value through above category sales performance, EBITDA growth and leveraging our asset base. These fundamentals are being further supported by the Federal and Provincial government's belief in the economic potential for our sector, ensuring Canada has best-in-class policy in line with the leading wine regions of the world. This will play an instrumental role in the long-term growth across the industry. We remain confident in the future of Canada's domestic wine industry and are proud to take a leadership role in its continued evolution. As I wrap up, as always, I want to thank our Andrew Peller teammates for their passion and commitment to our company and to the domestic industry in Canada. Our success is made possible by our collective efforts. Thank you. With that, I'll now turn it back to the operator and open the line for any questions.
Operator: [Operator Instructions] And your first question comes from Nick from Acumen Capital.
Nick Corcoran: Just my first question on the noncore assets you sold in BC, any indication where the rationale was for disposing of these assets and what other assets you might have for sale?
Paul Dubkowski: Yes, I appreciate it, Nick. So we've talked -- we built a pretty substantial real estate portfolio in our business over time, over the history of the company. Not all of these assets are strategic to the core operations of the business. And we think it's prudent to unlock that value strategically over time to create -- to further improve the balance sheet and create capacity for the company and to help drive future growth. The Caledon site, in particular, as I said, it's a relatively small site about 7 acres in size. It wasn't a core strategic vineyard for us, and it represented an opportunity to unlock some of that value and focus our capital and our efforts on the areas that drive growth for our business. In terms of other opportunities, we've been pretty clear. We're looking at our portfolio and looking at where we can unlock further value, we're going to be smart in doing that. And so it's hard to give exact timing on that. But it's something we're focused on as a management team. And obviously, we'll update as we have more information and move forward.
Nick Corcoran: That's helpful. And maybe looking at the estates, how has traffic trended through July and into August?
Paul Dubkowski: Yes, I'll pass that over to Patrick.
Patrick R. O’Brien: Yes. So from an estate perspective, as we've outlined previously, we certainly view this channel as a vital brand-building platform for Andrew Peller and we've increased investment in consumer experiences at our estate wineries across the country this year. More specifically, in terms of Q1, Q1 brought strong traffic and revenue growth across our states in the East and the West. And that was really supported by a rise in tourism and a really strong affinity for our estate brands.
Nick Corcoran: And maybe one last question for me. How is the harvest looking this year?
Paul Dubkowski: Yes. No, it's looking good. I mean, Ontario has had a quite warm summer, but we're expecting a strong harvest here in Ontario. And I think we're really pleased with what we've seen in the West. I mean the West had two pretty hard winners in the last couple of years. And certainly, there was little to no crop last year, but we are seeing good growth in the vineyards. It's going to take a couple of years to get back to where we were. But certainly, a little bit better for the 2025 harvest than we expected in the West, so optimistic about the future. But overall, well positioned with the East and certainly in the West with the actions that have been taken around supporting the industry and protecting domestic lines, there's definitely enough supply out there, and we're well positioned.
Operator: And your next question comes from Luke Hannan from Canaccord Genuity.
Luke Hannan: I wanted to go back to that noncore asset disposition. It wasn't -- I mean it was included in held for sale as of the end of the quarter, but then it was sold in mid-July. I'm trying to get a rough sense of, I mean, how long was the sale process for this? It sounds like it was initiated during the quarter, and it sounds like it was a relatively quick turnaround, but if you could confirm that, that would be great. And then secondly, related to that, how long was this vineyard held within your portfolio as well?
Paul Dubkowski: Yes, that's fair, Nick. I'll -- sorry, Luke. I'll have to confirm exactly how long it was in the portfolio. Maybe Renee can check that. In terms of the process, it was a fairly quick turnaround. Conversation started in the quarter essentially and it closed subsequent to the quarter. Again, it was a nonstrategic asset to us as a business, we would consider it excess, and it represented a good opportunity to unlock that value at an appropriate market valuation.
Renee Cauchi: Luke, just to confirm on the timing. We acquired this winery when we bought the Gray Monk company back in kind of 2018, 2019.
Luke Hannan: Perfect. And then just to follow up on that as well, the $1.3 million of proceeds that's net of taxes as well.
Renee Cauchi: No, that is not out of taxes. But since the land was acquired, so recently, our tax liability will not be overly material.
Luke Hannan: Okay. And then going back to the estate traffic. I know that you've talked, Paul, in the past about that being a good acquisition channel to add more folks to your wine club distribution or the wine clubs in general? I mean, have you seen that relationship take shape here as well? Have you been able to convert some of your estate guests into wine club members too?
Paul Dubkowski: Yes. And I'll pass it to Patrick in a second. We -- our states are really the front end of our most premium brands. And they're more than just a hospitality to location. They're a marketing and an advertising channel and a sales channel for us. And so when we perform well at the estates, it's a nice halo on our brands. And this fiscal -- last fiscal and this fiscal, we've been very focused on building our loyalty program, building our club. And we've put in place several actions that helped drive that. And the increased traffic, in addition to those processes and those actions we put in place in addition to the great work of the teammates that support that has driven growth in our club business and put that halo on our brands. Patrick, I'm not sure if you have anything else to add to that?
Patrick R. O’Brien: No, I think that's great, Paul. The only thing I would maybe double click on is as I touched on, it's a really critical brand building platform for us, our estates. More specifically in terms of wine clubs. It is a very important strategic growth pillar for us where we've been very successful and we are growing at double digits in terms of recruitment into our wine clubs this year is we are investing in experiences that we believe will drive higher recruitment and higher retention. For example, we've got an event this weekend that Trius -- it's going to be upwards to a thousand people, where we're going to showcase one of our new innovations that we're launching to market and events like that and investments like that are really helping us to recruit, I think, very strong numbers in terms of wine club members and then our retention numbers as well are very strong versus last year. So yes, definitely an important strategic pillar for us and something we're very focused on.
Operator: [Operator Instructions]. If there are no further questions at this time. I will now turn the conference call back over to Craig. You may proceed.
Paul Dubkowski: I think it was coming to me, but thank you. So again, thank you again to everybody for joining us today. We look forward to connecting you again later this year when we release our Q2 results. We hope everybody enjoys the rest of the summer and hopefully enjoys the glass of one of the great wines from across Canada. Thank you. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for your participation. You may now disconnect. Have a great day.